Bong Kwon: Greetings. I am Peter Kwon, the Head of IR at KBFG. We will now begin the 2023 Full Year Business Results Presentation. I would like to express my deep gratitude to everyone for participating today. We have here with us our Group CFO and SEVP Jae Kwan Kim, as well as other members from our group management. We will first hear the 2023 major financial highlights from CFO and SEVP, Jae Kwan Kim and then engage in a joint Q&A session.
 I would like to invite our CFO and SEVP to deliver our 2023 earnings results. 
Kim Jae Kwan: Good afternoon. I am Jae Kwan Kim, the CFO of KB Financial Group. Thank you for taking part in our 2023 earnings presentation. Before going into the details of the business results, let me briefly walk you through the key financial highlight for the year of 2023 of KB Financial Group.
 KB Financial Group's net profit attributable to controlling interest for 2023 posted KRW 4,631.9 billion. It is up 11.5% Y-o-Y, driven by noninterest income-led solid earnings improvements and stable cost control despite macro headwinds, thus demonstrating the healthy fundamentals and ability for profit growth. Balanced and strong earnings fundamentals was achieved across all of the top line segments of the group, which resulted in record high gross operating profit for 2023, posting KRW 16 trillion, up 17.8% Y-o-Y. As a result of efforts to enhance cost efficiency within the group, G&A expenses increased only 0.1% Y-o-Y and the group CIR in 2023 was at record low levels, coming in at 41% approximately.
 However, provisions for credit losses posted KRW 3,146.4 billion last year, up significantly Y-o-Y due to continuing high interest rates, both at home and abroad. Credit risk, especially in the real estate market, has expanded substantially. After Taeyoung E&C filed for a debt restructuring program in December, concerns are running high of deteriorating asset quality in the real estate PF market. To be preemptively prepared during the first half of last year through changes in our expected loss modeling, we have set aside KRW 490 billion in provisions. In addition, in the fourth quarter, reflecting a conservative outlook for the future, we have set aside an additional KRW 51 billion approximately and preemptively set aside approximately KRW 754 billion one-off additional provisions for priority watch list sectors, including real estate PF and overseas commercial real estate to prepare for any future risk. We expect this to underpin our sustained and strong growth going forward.
 In terms of returning our profit to society, we have recognized KRW 333 billion out of the total of KRW 372 billion for social contribution program in Q4, although last year's net income did not quite meet the market expectations because of this. Excluding such factors, the group's ordinary net income is approximately more than KRW 5.5 trillion, which is the highest level of fundamentals found in the industry.
 Meanwhile, the credit cost ratio of the group in 2023 posted 67 bps. But excluding one-off factors on a recurring basis, it stands at approximately 40 bps, thus being maintained at a stable level. Also, as of the end of 2023, the group's NPL coverage ratio posted 174.5%. In this quarter, the asset quality of priority watch list sectors such as the real estate PF and overseas commercial real estate has been more conservatively rated, resulting in a slight fall in the NPL coverage ratio Q-o-Q. Despite this, however, the group still demonstrates the industry's highest level of loss-absorbing capacity.
 Meanwhile, KB Financial group's BOD today has decided that the per share dividend for 2023 will be KRW 3,060 up 4% from [ KRW 2,951 ] of the previous year and also resolved on the share buyback and cancellation of KRW 320 billion. The share buyback and cancellation is in addition to the KRW 300 billion in share buyback and cancellation that we undertook in July of last year, once again, showing the firm commitment of the BOD and the senior management toward enhancing shareholder return and value.
 Finally, let me briefly touch upon the progress made in 2023 regarding the group's mid- to long-term capital management plan that was announced in February of last year. First, the total assets based on the 2023 year-end consolidated financial statement posted KRW 716 trillion, up 3.9% YTD and led by the healthy loan growth of the bank, assets have expanded appropriately within the nominal GDP level. Secondly, as was mentioned already, following the previous year in 2023 as well, dividends has been gradually increasing, while share buyback and stock cancellation has been proactively undertaken. So, despite a number of uncertainties, we are endlessly striving to achieve shareholder returns in keeping with the expectations of the market.
 Going forward, the company will uphold its firm commitment to faithfully carry out the group's long-term capital management plan, and will do our utmost to implement a proactive shareholder return policy.
 Let me now explain our business results in greater detail. In 2023, the group's net interest profit posted KRW 12,141.7 billion, up 5.4% over last year. This is the result of improving net interest margins of 12 bps, reflecting the effects of loan asset repricing on the back of rising interest rates last year while Korean won loans of the bank increased 4% YTD, securing a stable profit base. Next, in 2023, the group's net fee income and commission posted KRW 3,673.5 billion, up 4.5% Y-o-Y, increasing by KRW 159 billion approximately. Such growth of the net fee income owes itself mainly to the solid growth of the business fees coming from the retail customer base of the credit card, securities and capital business despite the challenging market environment with the wealth management and real estate PF contracting.
 Next, let me move on to the other operating profit. In 2023, the other operating profit posted KRW 413.9 billion, showing significant improvements over the previous year's large losses, up by KRW 1,663.5 billion. Against the backdrop of improving market conditions, including interest rates and stock indexes, efforts have been made to engage in timely responses to the market in addition to diversifying the funding asset portfolio, leading to meaningful enhancements in the performance of marketable securities and derivatives. In the case of insurance related income, despite increase in costs owing to actuarial assumption changes of the financial authorities last year related to IFRS 17 in the second half of the year, growth of 8.5% was posted over the previous year, maintaining a solid earnings momentum. However, the other operating profit in Q4 declined significantly Q-o-Q posting losses of KRW 595.7 billion. This is due to seasonal factors driving an increase in loss ratio, which led to a fall in insurance income, added to which KRW 333 billion of social contribution program expense was reflected as other operating expense.
 Next is on G&A expenses. In 2023, the G&A expense posted KRW 6,647.4 billion. As has been previously referred to, this is a mere 0.1% increase over the previous year and is the result of personnel restructuring, strict cost control and other measures taken across the group to enhance cost efficiencies.
 Finally, the group's credit loss provisions. In Q4 the credit loss provisions posted KRW 1,378.2 billion, a significant increase Q-o-Q. This is due mostly to the large-scale preemptive provisioning against the priority watch list sectors at the group level, reflecting a conservative SLC. And excluding such factors, the credit loss provisions at the recurring level is approximately KRW 573 billion.
 On the next page, I will explain the key financial indices. First, the group's profitability. KBFG's 2023 ROE posted 9.18%, and the recurring level of ROE, excluding one-off items, stands at 11.53% level, highlighting continuous and solid earnings fundamentals. Next, I will cover bank's loans in won growth. Bank's loans in won as of end 2023 posted KRW 342 trillion, a 4% YTD and 1.5% increase Q-o-Q. Corporate loans posted KRW 175 trillion, a 7.7% increase YTD around KRW 12.5 trillion increase and led last year's bank loan growth. This was a result of increase in loan demand derived by deterioration in corporate bond market conditions leading to a KRW 8.9 trillion YTD increase of large corporate loans and SME loans continuing to grow centering on high-quality SME and SOHO loans. On the other hand, household loans after posting minus growth in Q1 has been continuing a gradual stable recovery trend based on real demand and posted KRW 167 trillion, a 0.3% growth YTD. In this year as well, we will take into consideration multifaceted factors such as the economic circumstances and household debt situation and focus on qualitative growth, centering on asset quality and profitability, and maintain loan growth within an appropriate level.
 Next is NIM. Group and bank 2023 NIM posted 2.08% and 1.83%, respectively, a 12 bp and 10 bp increase Y-o-Y. This improvement in NIM was a result of our utmost focused efforts in NIM management, including reducing funding costs by securing the industry's highest level of low-cost core deposits through our superior sales capability and channel competitiveness and by significantly improving profitability of our financial investments compared to the previous year through profitability-centered portfolio management. However, in the case of Q4 group and bank NIM with the gradual diminishing of the loan asset repricing effect reflecting the interest rate hike in the second half of the year, both went down 1 bp Q-o-Q, respectively.
 Let's go to the next page. Regarding the group's CIR and CCR, I will skip this part since I covered this earlier, and I will elaborate on the group's capital ratio, which is found in the upper right-hand side. 2023 end estimated group BIS ratio posted 16.71% and CET1 ratio posted 13.58%, respectively. Despite the increased RWA due to growth centering on corporate loans as well as year-end dividend effect, group's BIS ratio increased 55 bps Y-o-Y still maintaining the highest level of robust capital buffer in the financial industry still fully prepared for macro uncertainties. I will explain in more detail regarding the CET1 ratio from the next page.
 This page is for us to more clearly explain about the indicators that shareholders and investors are interested in, including share-related indicators and CET1 ratio. First, if you look at the graph on the left, you can see that the group's CET1 ratio as of 2023 year-end posted 13.58%, a 34 bp improvement YTD. Looking at the factors behind major movements, additional factors, including group's solid net profit growth and OCI movements each contributed by around 144 bps and 24 bps, respectively to push up the CET1 ratio. RWA, which increased by KRW 19.1 trillion YTD and the dividend share buyback and cancellation, which was recognized in 2023, each contributed to 80 bps and 54 bp drop in CET1 ratio, respectively.
 Next, 2023 EPS posted approximately KRW 11,580 and on the back of sound income growth and share buyback and cancellation effect went up approximately 12.1% Y-o-Y. In addition, the BPS posted approximately KRW 148,240. And like the EPS, thanks to our consistent efforts to enhance shareholder value, including active share buyback and cancellation, improved by around 9.3%Y-o-Y.
 From this page, I would like to cover KBFG's ESG management for shared growth fulfilling social responsibilities among our group's core management strategies. In order for us to create a sustainable future and society, which is the ultimate goal that we want to achieve through ESG management, have been working hard for social contribution, utilizing our core competency in finance and also engaging in social contribution activities in a balanced and accelerated manner. 2023's representative performance results include newly providing around KRW 7.4 trillion of social finance utilizing our core competency in finance, including financial products for the underprivileged, low interest for refinancing loans, and [ hope ] savings program for youth. In the nonfinancial side, we contributed around KRW 300 billion for social contribution and local community investment, including supporting the underprivileged and small businesses and activities to improve social infrastructure. In addition, we provided around 13,500 cases of free consulting to small businesses. And through the KB Good-job fair, we connected around 6,190 jobs to job seekers and actively engage in diverse social contribution activities and programs.
 We will not be complacent with these results, but also focus our efforts for other social contribution activities as well. First, related to the bank-wide public social contribution program, which was announced late last year, we plan to support KRW 372.1 billion, the largest among all participating banks and we plan to expedite the completion of interest cash back implementation within Q1 of this year and plan to consecutively support small business owners and the underprivileged through our voluntary program. Apart from this, we plan to increase different support programs so that the self-employed can overcome their economic difficulties, expand programs to reduce interest rates for the underprivileged and sole proprietors and expand guaranteed loans through guarantee institutional special contributions. And in particular, in order to resolve the low fertility program, we contributed a total of KRW 75 billion to expanding elementary school after school care -- school childcare programs until 2022. And from 2023, we have been additionally supporting a total of KRW 50 billion related to increasing after school and other childcare-related institutions. KBFG pledges that we will engage in a higher level of ESG management, which benefits its role as a leading financial group that will grow with the people through consistently implementing diverse social contribution finance programs that can provide realistic benefits that can be felt firsthand. Please refer to the next pages which cover details regarding the business results I have covered so far.
 With this, I will conclude 2023 KBFG business results presentation. Thank you for listening. 
Bong Kwon: Thank you very much for the presentation. We'll now proceed to a Q&A session. Those of you viewing the presentation through the Internet, please contact us through the contact number that is on the last page of the PPT deck. So we'll now wait for the questions. 
Operator: [ First question is] Park Hye-jin from Daishin Securities. 
Hye-jin Park: My name is Park Hye-jin from Daishin Securities. So with regards to credit cost, I have some questions. So rather the expectations in Q4, the credit cost was quite high. With regards to real estate PF, I do understand that there has been preemptive provisions. Can you break down the provisions between the banking subsidiaries and the nonbank subsidiaries, and the total exposure in the bridge loan and delinquency? What is the size of the delinquency at the year-end? And also, loan loss provisions this year as well. Despite the preemptive provisioning, with regards to the real estate PF, do you have any plans of additional provisioning this year as well? So these are my questions. 
Kim Jae Kwan: So in the fourth quarter, we have had set aside large provisions. So bank subsidiaries and nonbanking subsidiaries, well in the case of the bank subsidiaries, the PF is about 95% of senior debt. But if you look at the loan provisioning between bank and the nonbank subsidiaries, the bank accounts for 60% and -- bank and the nonbank subsidiaries, it's 50 to 50. So the bank's portion is quite large, but the nonbanking subsidiaries, there has been a large additional provision set aside for those segments as well. And KRW 13.5 trillion is the total exposure around so. And from that, half of that is accounted for by the bank and the rest, securities and insurance companies are responsible for those other provisions.
 And with regards to delinquency ratio, well, in the case of the real estate PF, the NPL ratio is about 1%, 0.8% -- less than 1%, 0.8%. Despite this low level, we have set aside very conservative provisioning and the asset quality rating has been done in a very conservative manner. And also the PF asset evaluation has also been done very conservatively. That is the reason why we have set aside large provisions. And the question as to whether we're going to have additional provisioning this year. So the conservative provisioning, from the point of view of the present, if we assume the worst case, well, collaterals in the worst case, how far the price of the collateral can fall, that is the basis of our scenario. So from the present point of view, we do believe that sufficient provisioning has already been set aside. And so we don't foresee any additional provisioning for this year as of the present. So starting from this year, unless there is any exceptional events in the real estate market, we do believe that we will be able to manage developments going forward. 
Operator: We will take the next question from HSBC. We have Won Jaewoong on the line. 
Jaewoong Won: Thank you very much for very superior earnings despite the difficult circumstances and thank you very much for your shareholder return results. So I would like to ask you about the standard that you have in mind because the KRW 320 billion of share cancellation and you mentioned the PCA and the payout ratio. So I think that it is over 38% or so. So is that all total -- TSR? Or can you give us a little more color on whether we should see that this will change? So total shareholder return ratio that you have in mind, can you give us guidance for that? 
Kim Jae Kwan: Thank you very much. I am CFO of the group Jae Kwan Kim. As you had elaborated, I think there will be some changes according to which calendar you are using on a calendar basis for the share buyback and cancellation for this year. When we retrospectively look back to the previous year, it's 38.6%, as you mentioned. And for share buyback and calculation this year, we see it for 2024 and we had KRW 572 billion for last year. So it's 37.5% or so. 
Operator: We will receive the next question. Jeong Tae Joon from Yuanta Securities. 
Tae Joon Jeong: My name is Jeong Tae Joon. This recent issue with regards to the ELS. So the company -- what is your view on this? And what are your future responses that you are formulating to cope with the situation? 
Kim Jae Kwan: So while we are preparing the answer, please wait for a few seconds. Thank you. So this year, the bank is pretty much focused on the ELS responses and also rebuilding the trust of the customers. The FSS audit is still underway. And so there hasn't been anything decided in terms of compensation for the damages. 
Operator: We will take the next question from Samsung Securities, Kim Jaewoo. 
Jae Woo Kim: Thank you very much for your good earnings results and shareholder return results. So regarding the CET1 ratio, I think it is improving and compared to your peers, I think it is very superior. And to what extent do you think total shareholder return can take place? So for Hana, so if it goes beyond 13%, they say that they will have up to 50% of returns to shareholders that goes -- that exceeds that. So do you have any special guidance that you can remark upon related to that? And you also have the quarterly dividends? And can you give us some guidance on quarterly dividends for this year as well? 
Kim Jae Kwan: I am Jae Kwan Kim, the CFO of the group. Regarding shareholder return, I would like to emphasize 3 factors. First, we have the highest level of earnings power or generating power in the financial industries. So there was a preemptive provisioning for social contribution last year. But excluding that, 2023 recurring net profit stands at KRW 3.5 trillion level and total operating profit posted about KRW 16 trillion, a 17.8% growth, a record high level. Our superior earnings power capacity will become a great source for shareholder return.
 Secondly, according to the mid- to long-term capital management plan we announced in February, we will faithfully implement our shareholder return policies. Through detailed and sophisticated capital management plans, we will secure the highest level of capital adequacy in the industry. And for capital in excess that goes beyond 13% of CET1 ratio, we plan to actively utilize this for shareholder return if there are no special circumstances related to financial market volatility and our company's management goals.
 So based on such principles, the recent decision on shareholder return was made in full consideration of the [ HSCEI ] linked to ELS related uncertainties going forward. Barring any exceptional events, we intend to carry out our existing long-term capital management plan faithfully. KP Financial Group has over the years played a leading role in terms of shareholder returns, and we intend to implement an even stronger shareholder return policy going forward. Finally, I understand that there is a lot of market interest nowadays in enhancing the enterprise value of low PBR stocks. And when I decide a detailed plan for a value program, it comes out, we will be sure to put forward proactive responses to ensure that enterprise value is enhanced.
 Regarding the quarterly dividends that you asked about, we plan to do so this year as well, and we will discuss in detail with the BOD for details regarding our quarterly dividends this year. 
Operator: Next question is from Kim Do Ha from Hanwha Securities. 
Do Ha Kim: It's quite overlapping with the previous question. In the earlier part of the year -- so the treasury stock, how are you intending to calculate the shareholder buyback? Is it linked to the previous year's performance or this year's performance? So I think based on your answer, we can be able to anticipate what the guidance will be going forward for this year's dividend. So thank you very much for your answer in advance. 
Kim Jae Kwan: So I am Kim Jae Kwan, the CFO of the group. Well, this question, I think this is the same question as the first question. So let me say that the answer is quite the same as the first question. 
Operator: We will take the next question from SK Securities Seol Yong Jin. 
Yong Jin Seol: It might be a very narrow question, but you can see the K-ICS ratio. Well, it seems that it has gone up for the insurance. So can you elaborate more about the reasons behind that? 
Kim Jae Kwan: Well, the K-ICS ratio changes each quarter and currently, well, we have been -- actually been affected by interest rates. So for the changes in the quarter, it is because of the interest rates. So that will be a large reason behind that. 
Operator: So next question Mr. Cho Jihyun from JPMorgan. 
Jihyun Cho: I have 2 questions. In 2024, NIM and also with regards to your credit cost growth, if you have any guidance, can you share that also with your assumptions? And secondly, the U.S. real estate exposure, I think a lot of investors have questions about that with regards to overseas real estate at the group level. And if you can provide a breakdown by subsidiaries. Can you provide us with a rough assumption of the exposure? And going forward, what kind of -- what level of risk do you foresee? And with regards to K-ICS, I do believe that you have sufficient provision regarding K-ICS. But with regards to overseas real estate, do you have provisions for overseas real estate also included in that amount? 
Kim Jae Kwan: So while we are preparing the answer, please wait for a few seconds. Thank you. So the U.S. commercial real estate, let me get that question first. We have about KRW 5 trillion of exposure, and a large part of that is held by the bank and the amount held by the other subsidiaries is not that large. In the case of the bank, it has a large exposure. But it had conservatively invested. So senior debt is -- takes up a large portion. In the case of United States and Europe, we have commercial real estate there and office and multifamily and quasi residential real estate is the bulk of our holdings and 0.2% default rate NPL ratio. And you talked about provisioning. But in Q4 I said that we have conservative provision against real estate.
 And for the overseas commercial real estate as well, we have even more conservative provisioning for such real estate and for funds as well. It is a [ P&L ] asset. And so we have taken impaired losses in end of 2023. So the overall portfolio is mostly senior debt, and so there is a significant impact and we have sufficient provisioning given these factors. So the overseas commercial real estate for KB Financial Group, we don't see much impact going forward because of these reasons. 
Jihyun Cho: Also the other questions regarding NIM. 
Kim Jae Kwan: In the case of NIM, we have a very high share of low-cost deposit. And in a high interest rate regime, this leads us to maintain a high NIM level in 2023 and in 2024 earlier as well, we have maturing high interest rate time deposits. This can serve as a factor. And also KB, the share of the fixed interest rate deposit is quite high. And also starting from last year, the asset duration is being expanded. So even if the interest rate goes down in the second half, we will be able to engage in flexible funding portfolio management. And so in 2024, we will manage the NIM, so that it will be slightly lower than last year. With regard to loan growth, our growth is focused mostly on corporate loan, and it's going to be maintained at the nominal GDP growth level. 
Operator: It seems that there are no other questions in the queue now, so we shall hold. 
Bong Kwon: It seems that we have received about 7 questions in a short amount of time and covered different areas. If you did not get a chance to ask questions, please contact our IR team, and we would be more than happy to answer them. And it seems that there are no questions in the queue now. Since we do not seem to be having any more questions for now in the queue, we shall wait a little longer and if there are no other questions coming in, we will conclude our earnings presentation.
 Well, we will conclude our Q&A session, and we will conclude our business presentation for full year 2023. Thank you very much.
 [Statements in English on this transcript were spoken by an interpreter present on the live call.]